Operator: Greetings and welcome to the Atkore International Second Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. John Deitzer, Vice President of Investor Relations. Thank you. You may begin.
John Deitzer: Thank you and good morning everyone. I’m joined today by Bill Waltz, President and CEO as well as David Johnson, Chief Financial Officer. We will take your questions after comments by Bill and David.I would like to remind everyone that during this call, we may make projections or forward-looking statements regarding future events or financial performance of the company. Such statements involve risks and uncertainties such that actual results may differ materially. Please refer to our SEC filings and today’s press release, which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. In addition, any reference in our discussion today to EBITDA means adjusted EBITDA.With that, I will turn it over to Bill.
Bill Waltz: Thanks, John and good morning everyone. For your information, John and I are here in Harvey in a large conference room with proper social distancing, and David is joining remotely. Throughout the recent outbreak of COVID-19, our facilities have remained open, and we’ve been following the recommended CDC guidelines and procedures in order to ensure the health and safety of our employees. In a moment, I will go through an extensive review of the actions we have taken in response to COVID-19, but I’d like to begin on Slide 3 with some brief highlights related to the second quarter and a current update on our business.In Q2, Atkore’s strong operational focus delivered excellent financial results. We have increased adjusted EBITDA by $10 million or 13% and grew adjusted EPS by 19%, up to $0.99. During the quarter, we returned $15 million to our stockholders through share repurchases, and we ended Q2 in a strong financial position with a cash flow balance of $137 million. In addition, we have nearly $300 million in borrowing availability through our ABL.Moving to the business update, in the second quarter, we completed the plant closure of our facility in Wales and transitioned the operations to another site in the UK Additionally, we had to activate our disaster response plan after massive flooding in the Pacific Northwest shut down our Pendleton, Oregon facility. Thankfully, all of our employees were safe from injury as a result of the flooding. I am proud of the collaboration and teamwork demonstrated by the Pendleton team and the support staff throughout the organization in response to this unfortunate event. Furthermore, everyone at Atkore should take great pride in the hard work and dedication that they demonstrate every day to produce our products and serve our customers I’m pleased to announce that Atkore is this year’s recipient of the NAED Industry Award of Merit. It’s a humbling compliment to our mission statement to be the customer’s first choice. And I want to congratulate the entire Atkore team for helping in this achievement.As we look forward, given the uncertain conditions in the market associated with COVID 19, we are taking actions to manage our cost structure and enable our business to be ready for the future. Our current operating assumptions, is for the net sales to be down approximately 30% year-over-year in Q3 and 15% in Q4. Based on these assumptions, we estimate that our fiscal year 2020 net sales, adjusted EBITDA, and adjusted EPS to each be down 10% to 15% versus prior year.Now, let me turn to Slide 4 and discuss our response to COVID 19. From the start of the outbreak, our number one priority has been and will continue to be the health and safety of our employees. On the left-hand side of the page, you can see an extensive list of actions related to social distancing, employee protection and other preventive measures that we’ve taken. The decisions around each of these items were led by a special executive committee that was formed in response to the outbreak. One of the driving principles for this group regarding employee health and safety was how to make our facilities the next safest location when compared to sheltering in home. Since we are deemed an essential business, we believe we’ve had the responsibility to continue to operate and serve our customers, some of which were building or supporting the construction of emergency medical facilities around the world. From an internal operations perspective, we’ve also made several decisions over the past 30 to 60 days to manage our business through these rapidly changing times in our market. While we do not take these decisions lightly, we believe that these actions are necessary in order to support the long-term strength of our business.Now, let me take a moment to summarize my key takeaways regarding the quarter and recent events, and then David will go over the results in more detail. First, the team delivered excellent financial results in Q2, driven by our disciplined operational focus. Second, we are in strong financial position with $137 million in cash at the end of the second quarter and an open ABL capacity of approximately $300 million. Third, we are taking the actions to protect the health and safety of our employees and manage our business for the long-term through these unprecedented times.With that, I will turn the call over to David who will walk us through the quarter in more detail.
David Johnson: Thank you, Bill, and good morning everyone. As Bill mentioned, the second quarter was very strong financially. Moving to our consolidated results on Slide 5, adjusted EBITDA increased 13% and our adjusted EBITDA margin increased 270 basis points up to 19%. Adjusted EPS increased 19% as solid operational performance and low interest expense drove the significant year-over-year improvement.Turning to Slide 6, net sales declined $14 million, primarily due to lower average selling prices. The lower selling prices are a result from declines in key raw material inputs such as steel and resin. Recent acquisitions added $11 million in revenue and partially offset the declines in selling prices. Moving to the adjusted EBITDA bridge, our adjusted EBITDA was $87 million, up $10 million versus last year. This increase was driven by successful execution in the Atkore Business System. We were able to drive favorable benefits between the relationship of input costs and selling prices and we recognized $3 million of productivity improvements in the quarter.Moving to our Electrical Raceway results on Slide 7, the segment had a solid quarter with adjusted EBITDA up $12 million or 17% versus last year. Adjusted EBITDA margin increased over 400 basis points to 23%. Net sales declined $14 million as we experienced lower volumes in our cable solutions business and project sales internationally this quarter. However, we are very encouraged by the record backlog we currently have in the international business. In addition, we are pleased with the execution from the international team as they completed the consolidation of our facility in Wales, which was acquired through the Marco purchase in 2017. This is an example of the thorough review of our assets that we complete regularly in order to reduce our fixed cost and optimize our footprint. Also, as Bill mentioned, a severe storm in February caused massive flooding and shut down our Pendleton facility. The coordination and dedication of the entire team throughout this difficult time was amazing. Just in 2 business days, they had the IT systems back up, and we started transferring orders to other manufacturing locations in the region. The facility remains closed at this time and we will give you an update on the status for restart as we move forward.Turning to the Mechanical Products & Solutions segment on Page 8, during the quarter, strong volume growth increased net sales by over 8% as our pipeline and the execution of renewable energy projects continued to grow. Lower average selling prices resulting from lower input costs offset the volume growth on the top line. As we mentioned on our last earnings call, adjusted EBITDA margins landed at 13.8% and were exactly in line with our expectations given the higher mix from a few security projects that provided a margin benefit in the prior year.Moving to Page 9 let me take a moment to review our debt structure and liquidity. We have $845 million of total debt associated with our term loan facility. This loan does not mature until December 2023, and we have no scheduled principal payments prior to maturity. As Bill mentioned, we ended the quarter with $137 million in cash for a net debt position of $708 million or 2.1x trailing 12-month adjusted EBITDA. We are confident in our liquidity position, and we have not drawn on our asset-based loan. Despite reduced second half volumes, we expect to be solidly cash flow positive.Moving to Slide 10, we want to walk through our trends in cash flow and improvements in our leverage position. Compared to this time last year, our cash position is up $85 million, and the sequential reduction in cash from Q1 to Q2 is consistent with prior years, given that we complete multiple tax and interest payments and other annual items in the period. In general, we historically see our cash flow generation accelerate and improve in the second half of the year, which we expect to continue to occur even this year. Moving to the chart on the bottom of the page, our current leverage ratio is at 2.1x, which is down 0.7x versus last year. This reduction was driven by the strong cash flow and earnings part of the business and our repayment of $40 million of debt in Q4 last year.And now, let me turn it back to you, Bill.
Bill Waltz: Thanks, David. Turning to Slide 11, we have had several new investors engaged in the business over the past year, and we thought it’d be helpful to walk through the value chain briefly to help everyone’s understanding in the business as well as the different risks and opportunities that exist for us. Our inbound supply chain of key raw material inputs is critical to our business. This represents approximately 65% of our cost of goods sold, but that percentage can fluctuate based on changes in our input costs. We have multiple suppliers across the category, and we primarily source in region with very limited imports.Moving across the value chain, we believe our network of manufacturing plants and distribution centers is a competitive advantage for us. We can transfer production between sites, inventory between distribution centers and manage our operating levels through changes in regional demand. Thinking about our customers, both distributors and end users, we believe the Atkore value proposition of one order, one shipment, one invoice for a full combination of products is even more relevant today. By choosing Atkore, customers can optimize their working capital investment and their logistic costs by purchasing multiple product categories from Atkore versus having to use numerous product-specific suppliers for a similar set of items.Turning to Slide 12, as I mentioned earlier, we believe this unprecedented situation will cause a year-over-year net sales decline of approximately 30% in Q3. This initial view is based on a compilation of different estimates provided by trade organizations, industry experts and our own conversations with customers. In addition, this includes our estimate for channel de-stocking that is currently occurring at the distributors in order to match their inventory levels to changes in demand. Given the range of potential scenarios associated with the pandemic, we have stopped providing quarterly outlook information as well as segment level detail. We are continuing to provide other relevant income statement and cash flow items on a full year basis that will help in your analysis of our business.Based on our current assessment of the market, we estimate that the declines in the market conditions will reduce our net sales, adjusted EBITDA and adjusted earnings per share for fiscal year 2020 by approximately 10% to 15% as compared to fiscal year 2019. The rapidly changing nature of this situation has significantly increased the potential for variants. However, we are taking the actions to manage our business and cash flow despite this uncertainty. We reduced our full year capital expenditures by $20 million, down to $20 million to $25 million for the full year. In addition, we believe the cost actions that we have taken with both pre and in response to COVID-19 will help us minimize our decremental percentages as well as enable the business to be in a strong position for the future. This is a challenging environment for all of us, but I want to end my remarks today by highlighting the positive spirit and actions taken by many of those in our industry and by our employees.Let me begin on Slide 13 by thanking the members of the construction community who have been working tirelessly through the situation to our build and renovate facilities across the world into temporary hospitals and health care locations. The National Association of Electrical Distributors has recognized many of you as electrical heroes, and we do the same. In addition, I want to thank the Atkore employees who remain engaged in the business and are ready to answer the call when needed to deliver an emergency shipment of PVC conduit, metal framing or one of our many other products and services. To each of you, I am grateful. We know how hard you’ve been working, and we’re proud of what you’re doing to represent Atkore and help in this fight.Operator, please now open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Deane Dray with RBC. Please proceed with your question.
Deane Dray: Thank you. Good morning, everyone.
Bill Waltz: Good morning, Deane.
David Johnson: Good morning, Deane.
Deane Dray: I appreciate Slide 4, especially. That’s just a very thorough recap of all the actions that you’ve taken. It’s kind of the best practice we’ve seen this quarter in terms of all the comprehensive steps you have taken, so congrats on that front.
Bill Waltz: Thank you.
David Johnson: Thank you.
Deane Dray: It was also – not expecting to have to see a – that you also had to deal with a flood. I mean, as if the COVID-19 isn’t creating enough challenges. Just to make sure I understand this. What was the impact included in the quarter from the flood? And is insurance covering all of the losses?
Bill Waltz: Yes. So, Deane, it was a recent acquisition – I will give you some general stuff and if David feels appropriate to give any more color on numbers. It was a recent acquisition that we have highlighted called Rocky Mountain in Pendleton to provide future growth. One of the nice things with the team is we literally had the facility back up and, I say, running in 2 days, not running from the operations of the injection molding and so forth but from computer systems back up, shipping the product that was in the yard. And by the way, this was where a levee broke and 4 feet of water came rushing through. So in the meantime, we do have product in the yard that we’re shipping. And it’s a couple million dollars of what would be annualized profit, and we’re working through with our business insurance. So it’s all in the guide, if that makes sense.
Deane Dray: It does. Appreciate that. And in terms of the forward look, what’s the assumption where the 4Q starts, it’s not as severe as your fiscal third quarter, that ramp. What are you assuming there? Are the conditions improving? Is this – your backlog that’s giving you the suggestion that it’s not going to be as bad in the fourth quarter, but just where is that ramp coming from?
Bill Waltz: Great question, Deane. It’s a couple of things. One of the reasons that the current quarter we’re in fiscal Q3 is 30%. And I’m sure some are thinking to go, well, hold it, I hear maybe somebody else 20% to 30% is as we had in our prepared remarks. We have destocking, we probably have more of a stockable product. I don’t think distributors typically vary it. But just as they try to keep their days on hand appropriate. And if they used to have 4 weeks or 5 weeks of inventory, they still have 4 weeks or 5 weeks so 20% less inventory. That’s a week of inventory coming out of this quarter, I think, 8%, so 30%, maybe in the upper 20s or low 20%s. And then from there, I do think, without us being overly optimistic, as more states start opening up operations, and we get back to work, nothing significant there. But right now, as you would know, living in New England, from the Boston to New York City, it’s virtually shutdown at the moment, so a little bit of pickup and then they no longer, the destocking.
Deane Dray: Yes, we are seeing some construction restrictions being lifted now. So that’s consistent as well. And maybe just last question for me. Could you comment on the decrementals, 30% decrementals seem about where we would expect for the quarter. But what are you thinking about for the balance of the year on decrementals, if you think through the cost-out that you’re taking? Are any of these costs-outs going to be more permanent in nature? Or are they are temporary? But – and how does that square with decrementals for the year, if you could give some color there?
David Johnson: Sure, Deane. This is David. I’ll take that question. Right now, and it does make a difference as to what commodity costs are doing, but our full decremental is probably in that 35% to 37% given the current mix of the business. And so we feel we’ve worked out 35% to 37% down to 30%, maybe a little bit under that as we implement all of these cost containment actions. I would say most of the cost containment actions right now are more variable or temporary in nature. And we do have a little bit of fixed cost, and we’ll see some benefit going into FY ‘20/21.
Deane Dray: Thant’s really helpful. Thank you and best of luck to everyone.
Bill Waltz: Thanks, Deane.
Operator: Your next question is coming from the line of Deepa Raghavan with Wells Fargo Securities. Please proceed with your question.
Deepa Raghavan: Hi, good morning all.
Bill Waltz: Good morning.
David Johnson: Good morning.
Deepa Raghavan: Are you able to talk through some of the order trends as you exited April? Was it better than first half of April? Was it stable? Was it worse? Any color there?
Bill Waltz: Yes, Deepa, great question. It was almost on track. We gave the guidance of 30%. It was the very high 20%, and it was also the high 20% for a decremental. So our numbers were almost spot on. And then what we’re hoping. But again, hope and forecast is maybe April was the worst of the 3 months. But again, it all depends on start-up of states and how distributors destock. So again, we’re pretty comfortable with the 30%, but April was almost spot on. It – we were slightly better than expected.
Deepa Raghavan: Got it. Do you have any footprint – I mean, footprint in Mexico, especially? And have you seen any issues there with your plant or even if you’re experiencing any component shortages across your portfolio?
Bill Waltz: Yes. No, it’s a small opportunity. So again, Deepa, if you don’t mind, I’m going to answer for you, but all the rest of buy-side, sell-side listening here, one unique thing with Atkore is we have multiple facilities spread out across the United States so that we can serve our markets locally. And we reduce freight costs that way. And it does mitigate risk. I don’t see any of our – all of our facilities across the globe are up. And I don’t see any facilities going down because of the safety in our facilities. We’ve had a low amount of COVID cases and so forth. That said, most of our competitors are in the same situation, where our PVC competitors are in the States, Our metal conduit competitors are in the States. As you start getting to cable, there is a competitor that has Mexican operations that is having a little bit of challenge as you start getting to what’s called cable tray, there is one of like the 7 or 8 that’s in Mexico with a little bit of challenge. So we have seen a little bit of business, not enough to change our guide, but there is opportunity, and I think very little risk for us.
Deepa Raghavan: Got it. My last one as we think through the second half, how do we think about electrical versus mechanical products? Is it – which one would be worse? I mean just – I look at mechanical products and you have the strong volume lift. I don’t know if that continues. And just if you can size for us, which will be better versus your second half, and which would be below? And that’s it for me. Thank you
David Johnson: Yes, Deepa, this is David. I’ll take that. And it might be a little bit different in the top line versus bottom line. If you remember, the second half of last year, one thing to remind everyone, we did have two record quarters. So we had a very strong second half of last year. So all the guides we’re giving you is off of a very strong comparable base. Mechanical had very, very strong margins last year. So I am going to say, in general, the decrementals are about the same between the two businesses. The mix of the businesses is a little bit more unfavorable, I would say, in MP&S than the electrical. But overall, that’s why we felt that the 30% and 15% and then 30% decremental overall makes sense for the business.
Deepa Raghavan: Thank you.
David Johnson: Thanks, Deepa.
Operator: Your next question comes from the line of John Walsh with Credit Suisse. Please proceed with your question.
John Walsh: Hi, good morning.
David Johnson: Good morning John.
Bill Waltz: Good morning John.
John Walsh: Just thinking about the forward look and obviously appreciating you have a broad portfolio of products that go into the building at different parts of the cycle. But do you have any color on what you’re hearing around – I’m assuming on the new side? You’re kind of working off probably some backlog. Are you seeing any kind of site restrictions on some of the renovation and remodel? Just any way to help us think about the sensitivity of the business and then kind of what you’re seeing between, say, new versus that renovation part of the market?
Bill Waltz: Yes. So John, I’ll answer the standard way of saying that, we model businesses typically 20%, 25% of the business. It’s hard to tell right now. I don’t think in the industry, it’s being sliced more by the state and the municipality. In other words, just to go if the governor, the mayor, the county directors said stop construction and has decided hospitals are critical but an office is not, it doesn’t matter if it’s remodel or if it’s new construction. So I think both are out there, both are long-term potential. But it’s not what’s driving our mix right now. It’s more on the government. And then where in the country, obviously, it seems like the New England states have been more restrictive than what our southern states are. So we are seeing more of an impact there.
John Walsh: Thanks for that and then I guess I think on the call, I heard productivity was a $3 million benefit in the quarter year-on-year. Just wondering if you can give us more precision on what you’re expecting for the full year on productivity. And then I think the way to think about it on a go-forward was about $15 million. As you are looking at these cost actions, are you seeing more things that you can get after quicker? And just – is that still the right number or could that actually move around?
David Johnson: Yes, John, I think that, that’s still about the right number as you can imagine from productivity we’re finding new opportunities, but you also have some productivity benefits that are based on volume. So I would say, in general, it’s balanced. When you look at our full year outlook versus our full year outlook a quarter ago, the big changes are obviously just volume, offset with some of these cost actions that we made.
John Walsh: And then maybe just one last one, on the cost actions, I apologize if I missed it. Could you size what the actual dollar amount was in the quarter? And I think in an earlier response, you kind of talked, some of it was variable with a little bit of fixed as well. Is there a way to put a finer number on that 80:20, etcetera?
Bill Waltz: Yes, I would say probably more like 90:10, more variable. And then to size it, I would just say that 35% to 37% decremental down to 30%, maybe a little bit below. Once you do the math on that, it’s the value of those actions we’re taking in the second half.
John Walsh: Got it. Thank you. Appreciate it.
Operator: Your next question comes from the line of Andy Kaplowitz with Citigroup. Please proceed with your question.
Andy Kaplowitz: Good morning, guys.
John Walsh: Good morning, Andy.
Andy Kaplowitz: Bill, you mentioned differences in regions in non res markets. That’s the biggest impact on the business. But before the pandemic, you had mentioned strength in data centers, office hotels. Is a market like data centers holding up? And as the 2009 downturn in non-res really lasted several years, is there anything you see that’s different in this downturn that could help Atkore, as you go into FY ‘21 and beyond, come out reasonably fast?
Bill Waltz: Yes, great question, Andy. Yes, I think – again, these are secular trends that I will answer, but I think somewhat self-evident for anybody doing the researches. Even more, when you think of the Amazon and delivery that the data centers are strong. Now short term, have some of the different places, whether it’s Facebook, Google, Amazon, not being specific, just giving examples. Have they closed down their operations like others, to avoid COVID and visitors and contractors coming in. The answer is yes. But there’s definitely been an increase in the amount of activity we’ve seen for quoting and some large jobs that have been there. And as we look forward, data centers is definitely a trend that will continue to grow, same by the way, as a couple of the other ones like you would expect healthcare to be strong over the next several years. Flip side, well, things like parking structures, public buildings, religious, amusement parks are now forecasted to be down slightly over the next several years.
Andy Kaplowitz: Okay. That’s helpful, Bill. And then raw materials have generally been on decline here. So maybe talk about your ability to hold price. You guys have been pretty good at lagging price declines to raw material declines. So how does that impact the ability to hold these 30% decrementals? What are you seeing on the pricing side?
Bill Waltz: Yes. So we are very consistent. The one thing I like with the Atkore story is we will work our action plan to your point commodities like PVC and steel have dropped. Now steel pricing, there was announcements here at the end of the week for steel pricing to go back up. And therefore, just yesterday, we put in price increases in our metal conduit. Friday, a week ago, where copper is definitely down year-over-year, but we felt the value we provide with our AFC Cable and Calpipe business, we put in a price increase. And I don’t track every competitor, but I think the majority, if not all, competitors have also done it. So again, you have to sell value, delivery, one order, one invoice, one shipment. But whether this cost of steel is $400 a ton or $900 a ton, we are going to get appropriate value, and the customers recognize that. So it’s a win-win.
Andy Kaplowitz: Got it. And then, Bill, I was intrigued by the comments you made about record international backlog. I think it’s only 10% of the business or so, but like it’s been weaker and even last quarter. So that comment about record backlog is just intriguing moving forward. What are you seeing there and what’s the outlook for that part of the business?
Bill Waltz: Yes. So again, Andy, as you mentioned, it’s 10% of the business. So as we try to appropriately guide all the time with the good stuff, I don’t want to oversell anything. But the team has really just been doing an amazing job. I mean, the backlog is up compared to a year ago, approximately 50%, and it’s all by winning projects without naming a specific project. It’s just that team driving, bringing value, working with end customers, pulling through with key distributor partners. So time will tell as we go forward, but it does give us confidence in the forecast. And David, if you want any color to add to that?
David Johnson: Yes, Andy, the only other point I would make is the team has done a really good job of taking all the capabilities of our recent acquisitions like Vergokan and what have you and really coming up with an offering that’s allowing them to win more projects than they were in the past.
Andy Kaplowitz: Got it. Thank you, guys.
Bill Waltz: Thanks Andy.
David Johnson: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Mr. Bill Waltz for closing comments.
Bill Waltz: Great. Thank you. Before we conclude, let me summarize my key three takeaways from today’s discussion. First, the positive financial results we delivered in the second quarter are an outcome of the discipline built by the Atkore Business System. This is the foundation of our company and what drives our results. Secondly, we are in a strong financial position, and we have the liquidity to manage through these challenging times. And third and finally, we will continue to take the necessary actions to keep our employees safe, and ensure our business is ready for the future and to continue to grow successfully. With that, thank you for your support and interest in Atkore, and we look forward to speaking with you during our next quarterly call. This concludes the call for today.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.